Operator: Ladies and gentlemen, good day and welcome to the Infosys’ Fourth Quarter Earnings Conference Call. As a reminder for the duration of this conference all participant lines will be in the listen-only mode, and there will be an opportunity for you to ask questions at the end of today’s opening remarks. (Operator Instructions) Please note that this conference is being recorded. I would now like to hand the conference over to Mr. Sandeep Mahindroo of Infosys. Technologies Limited. Thank you, and over to you Mr. Mahindroo.
Sandeep Mahindroo: Thanks, Rochelle. Good morning everybody in the conference call to discuss Infosys earnings release for the quarter and year ended March 31, 2011. I am Sandeep from the Investor Relations team in New York. Joining us today on this conference call is CEO and M.D., Mr. Kris Gopalakrishnan; COO, Mr. S.D. Shibulal, and CFO, Mr. V. Balakrishnan, along with the other members of the senior management team. We will start the call with a brief statement on the performance of the company for the recently concluded quarter followed by the outlook for the quarter ended June 30, 2011 and year ending March 31, 2012. Subsequently we’ll open up the call for questions. Before I pass it on to the management team I would like to remind you that anything that we say which refers to our outlook for the future is a forward-looking statement which must be read in conjunction with the risks that the company faces. A full statement and explanation of this risk is available in our filings with the SEC, which can be found on www.sec.gov. I will now like to pass it on to Mr. S. Gopalakrishnan.
S. Gopalakrishnan: Thanks, Sandeep and good morning, good afternoon, good evening to everyone. Thank you for participating in this call at quarter end for financial year quarter four and for financial year 2011. We ended the quarter with revenue of $1,602 million. Our guidance was $1,601 million, $1,617 million, so we are at the slightly above the lower end. The revenue grew sequentially by 1.1%. We crossed the $6 billion mark and we have added in the last one year about $1.2 billion in revenues so good growth for the year. We have been able to sustain the operating margin within narrowband. We ended the quarter with about 29% operating margins. Utilization was lower. Utilization is about 75.7% excluding Chinese and we recruited 8,930 employees during the quarter versus what we said 5,800. So that had an impact and that’s partly the reason. We are investing for the future. For next year, we are planning to have 45,000 employees approximately. We expect the growth in the next year to be between 18% and 20%. We expect operating margin to be impacted by about 300 basis points, 100 basis points or 1% because of rupee appreciation. The balance again because we have assumed a lower utilization and the reason for this is simple, when we look at this year when utilization crossed 80%, we saw that customer service levels came down and we – we had some issues in staffing, some projects were not taken up and things like that. And so, we wanted to make sure that we truly are ahead of the growth curve and we are investing for the future and that’s reflected in the way we look at our investments into the future. We added 34 new clients, so client additions are good, large projects have come in, Shibu will talk about them. We are recruiting people. We are getting recognition in the market in terms of how we’re positioned, how we’re perceived. We are also investing in aligning ourselves better to the clients from an industry perspective as well as where the clients are spending money. Traditionally, if you look at 10 years back, we have been primarily in the operate side of the business. Today more and more we are doing lot of transformational projects for our clients. And in the future, we also want to look at innovations and how we can help them in their innovation cycle and things like that. So we’re broadening our ability to serve our clients and that’s the transformation that we’re making as part of Infosys 3.0, which we believe again will serve us well in the future, which will serve – which will allow us to serve our clients better in the future. So these changes are in play in already and we believe that we’re ready to respond to the market demands and respond to growth opportunities that we see in the market. As I said our revenue guidance is 18% to 20% for next year. And, Bala will of course give you details of how we look at the margin next year and how we look at the EPS next year. With this I will hand over to my colleague, S. D. Shibulal will talk about the various segments and how we’re doing in the market.
S. D. Shibulal: This is Shibu. So actually let me start with the employer addition part which is in front of me. We have added 8,900 gross employees in Q4, this is above the guidance we gave in the beginning of the Q4 we have guided where 5,800 people addition in the beginning of Q4. And the net addition in Q4 had been 3,041. We are 130,000 people today, next year hiring we are planning to hire 45,000 people next year. Now looking at clients. We added 34 new clients in this quarter; the more important thing is that 7 of the new clients we added are Fortune 500. We have a 154 clients out of the Fortune 500 list as of today. We have very, very strong client base. Total on – total number of clients have reached 620, and that also had gone up. 1 million dollar clients last quarter was 350, this quarter is 366, improvement there. Our top 10 clients, given us 24.9% of our revenue. Our repeat business as of Q4 is 97%, which is a very, very strong repeat business with our existing clients. From a vertical perspective, manufacturing has gone up quarter-on-quarter, but the more important thing is look at year-on-year numbers year-on-year BFSI has done very well. It has gone up from 34% last year to 35.9% this year. And manufacturing has remained stable and retail has gone up retail has gone up from 13.3% last year to 14.2% this year. So the strong verticals for us BFSI, retail and manufacturing. The weak vertical at this point is telecom because it is going through an investment cycle and the spending in the industry is slow. From a geographical split North America has marginally decreased. India has gone up to 2.7% it was 2.2% last quarter. Once again it will be good to look at the yearly numbers. Year-on-year India has gone from 1.2% to 2.2% this year in the FY ‘11. Service footprint consulting is 25.4% year-on-year it has improved by 1% last year it was 24.4% that is FY ‘10 and FY ‘11 it is 25.5%. Also system integration work has also improved from 4.2% of our revenue last year to 5.4% of our revenue this year. Fixed price, time and material is stable year-on-year it has gone up again by approximately 1.8 percentage points. It reflects the kind of work which we do more and more transformational work do come under fixed price. Onsite offshore ratio is the, is somewhat similar or marginally changed. So with that let me now hand up to Bala for the financial update.
V. Balakrishnan: Good morning everyone. This had been a reasonably good quarter, we had done well on the top-line we are within the range what we guided for. We had seen decline in volume growth this quarter, volume declined by 1.4%, the operating income level this quarter, the operating margins 29% compared to 30.2% last quarter, as mainly come down due to drop in utilization. Utilization came down by around three percentage points that had impacted the margin. The non-operating income went up during the quarter as compared to last quarter and the taxes also proportionately went up. Today our effective tax rate is close to 27%. The net income level we were at 25.1% as compared to 25% last quarter. For the full year, the operating margins as come down from 30.4 to 29.5 is again basically function of rupee on utilization. The net income level we close the year with close to 25% of net margin. We have a hedging cover of close to 620 million at the end of the year; we continue to hedge our exposes for next two quarters at any point of time. We believe the currency market will continue to be volatile and we don’t want to take a long-term view. For next year we have given a guidance of revenue growth between 18% to 20% and EPS guidance of 8% to 10%. We are assuming the rupee dollar rate at 44.50 that is what it closed in March to continue for next year which means the appreciation of close to 2%, 2.5% which will impact the operating margin by close to 100 basis points. We’re assuming that we’ll add 45,000 more employees next year and that is on top of lower utilization we’ve seen in the fourth quarter. So, utilization next year could come down that could impact our operating margins by close to 100 basis points. And then we are increasing the wages in India by around 10% to 12% and 2% to 3% outside India that could have a larger impact in the first quarter of next fiscal but overall for the year it could impact the margin by close to 100 basis points. So net-net we’re assuming a 300 basis point drop in operating margin next year for 18% to 20% revenue growth. If that revenue growth comes better than what we expected probably some of this impact we could absorb. We’ve seen the similar trend last year and initially when we guided for 17% to 19% growth we had assumed a decline in margin but when the growth came at 26% we’re able to absorb most of this impact. So going forward next year the environment continues to be stable and the customer spending happens beyond what we expect probably we’ll be able to absorb some of this impact. We’re going to spend close to 2000 crores of rupees on CapEx next year. We ended the year with the DSO days of 63 days, so I think next year we had given a good revenue guidance. We are assuming certain impact on the operating margins and if the growth comes much better what we expect we will be able to absorb some of this impact. With this I will conclude probably now we can open up the floor for questions.
Operator: Thank you very much sir. Ladies and gentlemen, we will now begin the question-and-answer session. (Operator Instructions) Our first question is from the line of Joseph Foresi of Janney Montgomery Scott. Please go ahead.
Joseph Foresi: Hi. I was wondering could you first talk a little bit about your guidance. I know that it seems like it doesn’t include pricing and it doesn’t include any new large deals given where pricing was this quarter, what was the decision in not including those and maybe just talk about some of the other assumptions in the guidance?
V. Balakrishnan: Traditionally we have assumed that the Q4 pricing to continue stable pricing and that’s the same principle that we have used this year also in the model because it’s not completely under our control and that’s the reason why we don’t assume any increase in the revenue productivity we assume that Q4 number and that’s how we do the modeling. Then what is the second question please.
Joseph Foresi: Yeah I was just wondering, what are other assumptions are in that guidance as far as the demand backdrop and utilization rates et cetera?
V. Balakrishnan: So utilization is typically we assume 78, 79 we have adding significant number of people 45,000 in some sense ahead of the requirement currently the utilization is 75% excluding trainees. So you’ve assumed a slightly lower utilization going forward. We have said that we will continue to have excess capacity and that impact is about 1.5% about 150 basis points in the operating margin drop. This is where Bala said that is the growth is higher than 18% to 20%. We should see improvement in margin as we have done this year.
Joseph Foresi: Okay. Maybe you could just talk about and it looks like this quarterly numbers where the volumes being down and across the sectors things are a little bit light I know there is some seasonality with the budgets, but maybe you could talk about the short-term outlook versus the long-term outlook and maybe what gives you confidence that work is going to accelerate here in the back half of the year?
V. Balakrishnan: In fact in order to give you actually a better prospect I’m going to ask two of my colleagues, Ashok Vemuri who is handling the largest industry vertical BFSI and B. G. Srinivas who handles manufacturing, so two large verticals to give you actually proper prospect is on each of the sectors.
Ashok Vemuri: Thanks, this is Ashok. So essentially we are a lot more confident going into the year about a performance and that it will not be reflective of what we did in Q4 because from essentially the pipeline that we have the fact that some of our large transactions spilled over from Q4 into Q1. So those are the once that we will mind in this fiscal year also the fact that we in the last four or five months have opened accounts in geographies that we were not present in especially Continental Europe those are the ones that we will continue to mind. We’ve got very good traction on some of our solutions specifically in regulatory compliance area and business intelligence and analytics et cetera. So from where we are sitting coming off a couple of quarters that we had robust growth Q4 was a little soft. I think that has actually something that we expected, but our view is that going in into the fiscal we will have based on the opportunity pipeline that it will be much better than where we are at this point of time.
Joseph Foresi: Okay. I wonder if you could talk is there – was there anything any large projects that rolled off this quarter anything particularly in the insurance or financial services vertical?
V. Balakrishnan: So nothing in the BFSI vertical we don’t have any particular project that have been canceled et cetera. Insurance has been a bit of a laggard over the last couple of quarters but again from where we are seeing it today some of our large transactions that we hope to close very soon are in the insurance space. We have had not such a large footprint in insurance as compared to the rest of BFS and hopefully we are in a place very quickly actually in a place where we can correct that situation.
Joseph Foresi: Okay. Thank you.
Operator: Thank you Mr. Foresi. Our next question is from the line of Ed Caso of Wells Fargo. Please go ahead.
Edward Caso: Hi good evening. Can you talk a little bit about where attrition stands now and where you think employee attrition will go?
S. Gopalakrishnan: Attrition has come down we lost 3,500 people in services in this quarter. And I think that the stability that’s coming to the place. We have announced a compensation hike of 10% to 12% for India, 2% to 3% for overseas people. And I think this year the attrition for the entire industry will be lower because last year the industry opened up there was heavy growth, many people did not have enough people and they went and push from others. This year they come to a new normal and the new normal they have hired lot more people last year. They are going to call this and made lot more offers about 140,000 offers for the top five companies if I’m right. And overall people know that they are not going to push as much because they have enough people and I think attrition will be stabilized for the whole year it could be between 12.5% to maybe 13.5%, 14% on a voluntary basis which is very good.
Edward Caso: Follow real quick tax rate assumption for FY ‘12?
V. Balakrishnan: Well the effective tax rate for the full fiscal of 2011 was 27%. I think it will continue to be within the range of 26, 27 even for next year because all the incremental growth could be in SEZ. To an extent that will give some benefit on the tax rates. So I think it will be at the same effective tax rate what you’ve seen in this fiscal.
Edward Caso: On the earlier call there was some discussion about increasing hiring outside of India. I was curious how that was going what the implications are for margins and what fallout you’re having on the lawsuit in Alabama?
V. Balakrishnan: Overall we had hired about 1500 about 1000 people in the U.S and 500 outside the U.S. This year also we are planning to hire a similar number or maybe up to 2000 people outside India see the impact on the margin is limited because in many cases these are for higher value added service the revenue productivity is higher. So we are doing this in such a way that the impact on margin is minimal, but that something we have to calibrate as we go long, but the aim or the goal is to minimize them back on margin it’s in line with the our change that is happening in that service lines and things of that.
Edward Caso: And any update on Alabama?
V. Balakrishnan: Any – can you repeat that.
Edward Caso: Any update on the lawsuit in Alabama?
V. Balakrishnan: No, I cannot comment on it we are taking it seriously and working on it that’s all I can say.
Edward Caso: Last quick question lot of chatter in the press about changes at the senior management level. Can you update us on what the current status is?
V. Balakrishnan: So there are two sets actually one is today Dinesh one of the founders has announced retirement second is Mohandas Pai has announced his, he’s had to explore things outside in terms of education field and things of that now broaden his portfolio and then of course where you have Murthy’s retirement which is coming up in August. So the board is meeting in August, April 20th it’s about 15 days from now and we will announce the succession planning. As in the past we have a bench leadership bench and we are confident that we can manage these transitions well there will be continuity. We’ve done it in the past and I’m very confident about the leadership that is there in the company. The second set is changes in management internally and things like that, but here it’s more about aligning our portfolios, so that we can serve our clients better. And we have moved in this direction seven, eight years back when we verticalized the North America then we included Europe also and today we’re saying we will be going to market as four large vertical industry groupings and one smaller one the four being BFSI, retail logistics and life sciences manufacturing and energy technology, energy, telecom and Services. And the fifth one which is smaller is public services and healthcare. Many of the horizontal services like infrastructure management; IBS et cetera have reached a size of $300 million plus no critical mass so that we can vertically align those also. So within those services we are creating industry groups aligning them with the good market industries and that’s the transformation that is happening internally. We are also creating new engines of growth overall the products and platforms and the innovations which Subhash Dhar will take responsibility. We hope to grow that significantly. We also have cloud, mobility and sustainability a three growth engines which we are creating as business units. So they will also contribute to growth over time. So we will continuously do these things such that we create engines of growth we align ourselves to serve our clients better. We look at scale efficiencies we look at leadership development we look at serving our clients better. So this is an ongoing process we hope to complete this part of the transformation also this quarter and we will be then very prepared to manage the growth or handle the growth. We have also launched what we call Building Tomorrow’s Enterprise, Thought Leadership as a solutions program for the company. This is to again serve our clients better. We’re looking at where the clients are investing in the future and making sure that all the things that we do all the solutions that we create every project that we execute and some sense are reliant to these themes and we can articulate the value we delivered to the clients better we can serve our clients better, we can create our leadership solutions that are on this things. So these are the changes we believe that this makes Infosys stronger. This makes Infosys better in terms of ability to serve our clients, value addition to clients and things to that.
Edward Caso: Thank you very much.
Operator: Thank you, Mr. Caso. Our next question is from the line of Moshe Katri of Cowen & Company. Please go ahead.
Moshe Katri: Hey, thanks. Looking at where the revenue mix are expired top one, top five and top ten clients it seems that the weakness was generated from at least maybe one of these top clients maybe one or two. We’ll be correct should that this potential weakness from some of your large as for the unusual weak results that you did pose and BFSI North? Okay.
S. Gopalakrishnan: So, Moshe we know that this quarter has some seasonal impact some clients take much longer to start spending after the budgets has set. We knew that and that’s why we had actually projected and muted quarter. There was nothing surprising there is nothing which is going to go forward. This is not actually a change in our client spending or anything to that, they’re just seasonal which some clients have that seasonality built into their spending pattern. So we had anticipated that we knew about and we had anticipated that.
Moshe Katri: Well close it’s beyond that and what we’re talking about sequentially flat numbers and BFSI sequentially flat numbers in North America. So again I think more color on that, that would be helpful, and then given Mohan’s resignation what is Infosys doing to retain top talent at the company and his condolence could be? Thanks.
S. Gopalakrishnan: So, Moshe if you look at the annual numbers for North America for BFSI these are very strong numbers. So there is a seasonality, we’ve had strong quarters in these segments. See North America grew full year by 25%, BFSI grew 42% for the full year. So we’ve strong and we’re confident about our – our 32% actually BFSI grew 32% for the full year. So we’re confident about these sectors and these will be our intense of growth in the future. Now your second part of the question was about ability to retain top talent. Our ability to retain top talent is pretty good, if you look at the leadership pool that we have many of them have spent long years now 10, 12 years with the company. If you look at our Executive Council very long-term within the company, Bala is pointing to himself and he is saying he is there for 20 years now with the company. So our ability to retain and there is stability in the team. Now Mohan has been there for 16, 17 years with the company now and as we know he is a person who wants to contribute back to society, he is passionate about certain things in life like education his canvas is much larger he has been significantly contributing to policy and things and then he wants to expand that and that’s the reason he is looking at it and he has been there for 17 years. Dinesh is there for 30 years actually and he is one of the co-founders of the company and he has run the marathon with us, we’ve grown the company together with him and he is expressly sad to retire. I don’t think these are normal events are which we can treat them as our inability to retain our leadership talent. Murthy retiring he is about age which we had certain things to that. This we have known for quite sometime. So these are unique very, very unique events it’s not about retaining talent leadership talent it is about changes that we have to prepare ourselves and we have to plan ahead and things like that four, five years from now another set of changes would happen in terms of other people retiring. So these are things we have to plan ahead we are confident that we have the leadership within the company this leadership is very experienced, this leadership is well known in the industry, this leadership has been meeting you people have been meeting clients, the clients are confident, they are running very large portfolios today. I’m very confident that the company will be in very, very good hands as we proceed forward.
Moshe Katri: Thanks, Kris.
Operator: Thank you Mr. Katri. Our next question is from the line of David Grossman of Stifel Nicolaus. Please go ahead.
David Grossman: Thanks. Kris I guess what stands out is and I know you are the first to report here but your momentum and the business seems to standing contrast to many of your peers and to be fair historically you’ve been able to manage the various headwinds that the businesses stays whether that be wage increases FX attrition et cetera. So with that as a backdrop can you help us understand the head count constraints and the impact on growth in the fourth quarter as well as your sequential growth in the first quarter and I guess as well as the impact on margins and then specifically with the lack of capacity the primary issue impacting growth in margin. And do you expect to see a more normal sequential pattern of growth and level of profitability as the year progresses and you start adjusting your capacity?
S. Gopalakrishnan: So David very interesting question. I’ll share our thoughts here. See at the beginning of the year we said that 25,000 people 17% to 19% growth for the year. And we started the year we had very good two quarters and utilization crossed 82% actually the peak was around 82%. And at 82% we knew and we’ve shared this in the past with you that with all of you actually that it will start impacting customer service, our ability to stop projects. We also we’re not able to take on some of the projects and things like that. So things started slowing down and it takes actually couple of quarters to gain regain momentum because you don’t overnight get back those deals or replace those deals. That’s a learning and so that is why we said this year let’s be ahead and the numbers are very large. We are now talking about recruiting 10,000 people in a quarter and to bump up 10,000 to 11,000. The 1000 is actually a pretty steep target. So you have to plan ahead, you have to could prepare the pipeline to hire 10,000 people typically we have to get 100,000 applications and things like that 1:10 ratio minimum. And so that is why we said let’s shoot for about recruiting 45,000 people. This year we recruited 43, so we have confidence that we can recruit 45,000. This quarter also we said 8,500 people were recruited instead of 5,800. Again it is because we believe that the year is normal and we can grow. What is the result of that? There is a slight impact on margin. It’s an investment we are making. We are creating capacity and hoping that when the growth is there when the growth comes our way, we can accelerate growth and we can prepare ourselves better and that will offset or that will actually improve margins at that point. So, that’s the dynamics of this and I hope that explains it.
David Grossman: Well I guess what I’m thinking is if you get to a more steady state I guess model if you will. Should we expect the growth to kind of go back to a mid-single-digit type of sequential growth profile, but at a lower margin or would in fact you see both the margins and the sequential growth rate returned to more historical levels.
S. Gopalakrishnan: So if, so for example if this year we only recruit for the 18% to 20% actually the margin will be better except for the rupee impact fee. Rupee impact is a structural thing and that will have an impact. We have actually taken care of the impact of tax rate and things like that. We’ve now at the 27% effective tax rate. So the rupee is the only structural impact. We are investing ahead. So our ability to sustain margins and demonstrated consistently year-after-year even this year, if you actually exclude the rupee impact, but look at the impact on margin. It would have been actually better. The margin would have been improved if it were not for the slight drop in utilization and things like that. But that’s how it is, so if we stop recruiting or reduce the pace of recruiting actually our margin would improve that’s one of the levers now that we have that we can use if need be.
David Grossman: Okay. And just one last thing that the local hiring and the investment spending you didn’t talk as much about that I know you mentioned that you made double the local hiring. But you are only at a 1000 people, it sounds like a year. So can you again help us at least better understand what’s going on structurally in the industry and how that may change the requirement for the acceleration of those investments over the next several quarters?
S. Gopalakrishnan: So in our case it’s tied to the service lines in which we are investing, consulting, system integration, the services that are closer to the clients and things like that and they are growing. So as they grow, we need to recruit a lot more people locally, but the revenue productivity is higher and it also generates downstream revenue. So that’s how we are hoping that and we have demonstrated this year now we’ve added one of the largest numbers in our history in terms of hiring outside India. So we are able to do this hiring and maintain margins reasonably well. Of course this is an execution game and we have to continuously execute these things properly. So that this can go on and that’s what we’re striving to do at that point.
David Grossman: Okay, great. Thank you.
Operator: Thank you, Mr. Grossman. Our next question is from the line of Sanil Daptardar of Sentinel Investments. Please go ahead.
Sanil Daptardar: Yeah, thanks. In your guidance what were you assuming in terms of the pricing?
Operator: Excuse me this is the operator. Sir, are you on a speaker phone?
Sanil Daptardar: No, I’m not.
Operator: Okay, thank you. Please go ahead.
S. Gopalakrishnan: So for the purpose of guidance we have assumed stable pricing. So the revenue productivity of Q4 is what we have assumed for our guidance.
Sanil Daptardar: So all the guidance for fiscal ‘12 is basically based on the volume growth that you’re assuming and where is that volume growth you’re seeing in which verticals you’re seeing this trend that you mentioned right now in the conference call although this manufacturing BFSI and retail are going to continue with this trend going forward for the next year you think so?
S. Gopalakrishnan: So it’s all volume growth which we have factored in our guidance because that is our standard process and the revenue productivity improvement is not entirely in our hands. So we don’t factor it in for guidance and future planning at this stage. It goes quarter-after-quarter number one. Number two the verticals which where we are seeing where we are seeing traction. Of course BFSI will continue to an important vertical and we believe that this will grow manufacturing retail, energy and utilities is growing faster for us. And healthcare and life science are areas where we are investing, we believe that they will also pick up momentum so other than telecom. Telecom is the only segment where we are seeing weakness and we believe that is because of the investment cycle. So other than telecom most of the other verticals will do very well for us.
Sanil Daptardar: Okay. Just give me a color on what you – when you compare 2010 and I think 2010 was a cyclical recovery year. There was aggressive growth out there people had projects that were spent and then the projects we’re spending money. When you look into next two years this year I think you saw a more normal environment that’s what you had commented in your press release and you say it’s a stable environment. When you compare and contrast that with what happened before the financial crisis is the environment what it is now before the financial crisis and going forward do you think that most of the projects are over and the rate of growth is going to slow into fiscal 2013 with the kind of pipeline you’re using?
S. Gopalakrishnan: So, to answer the question on the environment, the environment is definitely not exactly same as what it was before the financial crisis. It is not same as what was in the financial crisis but nor is it same as what was before the financial crisis. That kind of stability I don’t think we can hope for at this point in time because of various reasons, you have economic uncertainty, you have currency volatility, you have regulatory volatility going on and clients are dealing with various macro-economic events. So what is happening is that the decisions are getting delayed also when they take them they’ve taken on a arrear basis. And so we are getting used to that new normal which is different from what is well in the PAT. That’s part of life we need to get used to that new normal. Now as well as growth is concerned we have given a guidance of 18% to 20% at the same time we are prepared completely prepared to take advantage of any other opportunities which will come during the year that is where the investment for recruitment and the dipping of utilization is planned at the second part. Thirdly, when we look at the future what we are trying to focus on is on the client and on the areas in which the clients are trying to achieve certain things right. So it’s all focused on the client Chris talked about it. We have traditionally we are very strong in the operation business operations part. And optimizing that piece that means what you have done in the past is to deliver lot of value due to optimization in the business operations piece. Our ability to transform the business is consistently improved today our revenue from consulting some integration kind of work is approximately 25% which is considerably gone up over the last let’s say five to six years. So that is the second piece where we are investing where we are expanding of a addressable market and that is also very relevant to the client. The third part is the business innovation piece where the clients want to innovate to take advantage of some of these global plans like digital consumer, sustainability, emerging markets or smarter organization. So what we are seeing is there very good traction with those teams. Our accelerators – our ability to co-create, our ability to transform are allowing us to address more and more of those markets. So, if you look at these, in total we are extremely relevant to the clients in all the three areas where they spend or where their, where their action is, operations and optimization. Second is transformation and third is, business innovations. So we believe that expands our addressable market space that gives us an ability to add value to our clients in all the three areas and drive growth for ourselves.
Sanil Daptardar: Okay. If I can ask one last question on the deal size as what are you seeing in the marketplace in terms of the deal sizes. I think given last few quarters there had been some mega deals but have those mega deals gone away or it’s still continuing and how you tend to gain more market shares on those deals?
S. Gopalakrishnan: So, in the last quarter we have closed four transformational deals and six large out-sourcing deals. And so a pleasant surprise actually the deals which we’ve won were actually larger than the deals which we lost, which means that our average size of the deal which we win are going up which is good news for us. At this point we are chasing deals about 12 deals which are anywhere between $50 million to $250 million. And our win rate is usually one-third approximately one-third. We would like it to be higher and we are working on it, but otherwise it is one-third.
Sanil Daptardar: Okay.
S. Gopalakrishnan: And our transformational deal sizes have definitely gone up. It used to be somewhere between $30 million to $50 million. Today we are easily winning $80 million to $100 million.
Sanil Daptardar: Good. Thanks a lot.
Operator: Thank you. Our next question is from the line of Mark Zgutowicz of Piper Jaffray. Please go ahead.
Mark Zgutowicz: Hi. Thank you. Just may be a clarification from a prior question. I was hoping you could be a little more specific about customer service issues that you encountered last year that and sort of direct to the hiring the levels you’re expecting this year. I’m just curious how much that was volume or attrition related versus just charge of skill-sets and also may be charges geographically and sort of how the hires you plan for this year will alleviate those issues? Thanks.
V. Balakrishnan: So, regarding the utilization we talked about our philosophy of the operation is that during the planning stage we do optimized planning which means we will plan for 78% utilization that’s basically I’ve given the guidance of 20% we will plan for 78% and 20%. And during execution we maximize so as and when we find opportunities we will actually take them up even if our utilization goes above 78% it is – it is not – we’ve done it many, many times in the past. The talent happens if it goes above let’s say about 81% and it remains there for couple of quarters. One quarter 81%, 82% it goes back we had find but if it’s made separate that a longer period of time our ability to take up programs definitely come down because if you are 78% utilization on a 100,000 people base you have 22,000 people on bench but if you have of course please remember lot of it is leave and travel and training and things like that but still at a gross level. If you go to 82% you have 18% people on the bench and out of that about 10% almost 10% is about all the leave, travel, training, sabbatical all kinds of other things. So your number of people who are available to start new projects come down, you don’t see an immediate impact because the impact of project start I’ve seen a World Cup about two quarters down the line and that was what Kris was talking about. That is the answer to one question. The second was about hiring, we are planning to hire 45,000 people next year, 6,500 in Q1, our lateral hiring is about let’s say 20% of that approximately. And as Kris said we are planning to hire about 2,000 people outside India 2,000 plus people.
Mark Zgutowicz: Okay. Thanks very much. I appreciate it.
S. Gopalakrishnan: Thank you.
Operator: Thank you. Our next question is from the line of Rod Bourgeois of Bernstein. Please go ahead.
Rod Bourgeois: Yes guys, thanks for letting me ask another question here. So over the last couple of quarters the volume growth in particular has been softer than what we’ve come to expect particularly in a more normal market environment from the Infosys. So I guess I am wondering I mean over the last couple of quarters the December quarter and the March quarter, do you think you’ve been keeping pace with the offshore markets overall growth rate particularly in the March quarter where your sequential volume growth was actually slightly negative?
S. Gopalakrishnan: So, we cannot at this point speculate because we are one of the first to announce the results but having said that 26% for the year seems to be actually ahead of the overall industry, the industry is expected to grow what was expected to grow at 18%. So, we’re ahead of the industry for the annual growth rate.
Rod Bourgeois: Right. But the run rates for the last couple of quarters has dropped. So I mean to the extent that you had some issues in the March quarter related to you might have lost the week of work as budgets transition from one year to the next or some deals that were delayed. Do you expect those to be similar issues that we’ll hear from other offshore players in the upcoming weeks as they release earnings or do you think you might have experienced some client specific issues on your own part that contributed to that?
S. Gopalakrishnan: So we have a seasonality which we had guided also. I do not know about others because others have not as per their results I don’t know.
Rod Bourgeois: Okay. But I mean would you be surprised if the other players have sequential volume growth that’s flat or slightly negative or would you expect that other players would have more positive growth trends. Because it does seem that the offshore market is still on a growth trajectory that’s I mean in the low 20s range from what we can tell. And so I mean either you have been through a low here or the offshore market has experienced some problems. And it looks more like you have been through a low here rather than that the offshore market is experiencing some problems. So, can you give us any perspective on that?
S. Gopalakrishnan: So if we look at our guidance of 18% to 20% for the next four quarters, we believe that the growth is there for this model growth is there. So there is some seasonality and that’s what is reflected. This is our perspective.
Rod Bourgeois: Okay, great. Thanks guys.
Operator: Thank you. Our next question is from the line of Trip Chowdhry of Global Equities Research. Please go ahead
Trip Chowdhry: Thank you. Couple of questions here. If I look at where the industry structure over the last I would say four months or so we’ve seen some changes may not be some significant but it’s definitely pointing to something, we saw MindTree having some issues, we also saw Genpact acquiring Headstrong, we also saw (inaudible) and IGIG. When I look at all these tools is that probably the industry of out-sourcing is getting matured and probably the industry growth of about 18% to 20% that we have resumed may not be right probably it is more around 11% and 13% of the IC. Based on less than we have right for the industry growth it’s not 18% to 20% and industry growth is more towards the 10% to 12% or maybe 13%. In that situation first what can Infosys do to outgrow the market? Number two is the growth rate of the industry is nearly 10% to 12% then definitely acquisition should be your top priority and quarterly revenues and cash flows (inaudible) technology. So if suppose I am right whether this change your equation and then I have a follow up question?
S. Gopalakrishnan: Very interesting question. So, again let me give you my perspective actually I would say many of you are probably better positioned to answer this question. If you look at NASSCOM’s projection this year was 18%, we are doing 26%. NASSCOM’s projection for next year is about 16%, 17%, we’ve given a guidance of 18% to 20%. NASSCOM’s guidance our projection for the next ten years through 2020 is the industry would grow around 11% to 13%. So that’s the range of numbers we are talking about. For this year NASSCOM says 16%, 17% we are saying 18%, 20%. Last year NASSCOM said 18, we are saying 26 we have delivered 26. So those are some of the numbers.
Trip Chowdhry: Perfect. The question I had was – if suppose –
Operator: Excuse me, this is the operator, sorry to interrupt. Mr. Chowdhry your line is not very clear. If you’re on a speakerphone, please use your handset. Mr. Chowdhry?
Trip Chowdhry: Hello?
Operator: Yes. Please go ahead.
Trip Chowdhry: Perfect. The follow-up question I had was regarding – yeah hello can you hear me? I guess not so. I’ll just pass my second question. Go ahead.
Operator: This is the operator. Mr. Chowdhry please go ahead. Okay.
Unidentified Company Representative: Can we go to the next question?
Trip Chowdhry: Yes, probably that would be better.
Operator: So shall we move on to the next question?
S. Gopalakrishnan: Yes. Thank you.
Operator: Thank you. Our next question is from the line of Rahul Acharya of the Everest Group. Please go ahead.
Rahul Acharya: Hello, thanks. Last time around we mentioned about investments made around into BFSI about mobile banking, rural banking and investment around that area. So I wanted to get an update of how is that coming along in this particular quarter and any outlook in the next year?
S. Gopalakrishnan: Yeah in fact mobile banking we launched in November in Vegas and RDS and we have already signed up three customers globally. And it’s – we are seeing very good traction on that and on top-flight we have also been able to do the PoC on the mobile commerce as well which is another offshoot of the whole mobile initiative. This quarter we have made investments in launching Finacle on cloud for a segment called cooperative and community banks. So this is something which we are following through.
Rahul Acharya: Okay. And the energy and utilities vertical products – investments around Smart Meters and Smart Grid technology?
S. Gopalakrishnan: Pardon?
Rahul Acharya: In the energy and utilities vertical any investments around (inaudible) and smart meter solutions?
S. Gopalakrishnan: As in other industry verticals we do invest in creating point of view, creating solutions and things like that. The whole area of sustainability is a very interesting area and we believe that will be an area of growth for the company. So we have created a Center of Excellence around sustainability. And energy and utilities is a growth engine for us and we will continue to invest, we’re looking at smart metering or automated metering. We’re looking at smart grids, we are looking at suitability. So there are lot of opportunities in the area of energy and utilities.
Rahul Acharya: Okay. Thanks so much guys.
Operator: Thank you Mr. Acharya. Ladies and gentlemen due to time constraints that was the last question. I now hand the conference over to the Infosys management team to add closing comments.
V. Balakrishnan: Thanks everyone for joining us.
S. Gopalakrishnan: Thank you everyone for participating in this call, really appreciate all the questions. Our investment relationship managers are available and you know them. So if you have any further questions they will be able to answer or if you need to talk to anyone of us we are also available, looking forward to interacting with you during the quarter or at the end of next quarter. Thank you again.
Operator: Thank you very much.
Sandeep Mahindroo: Thanks everyone. Have a good day.
Operator: Ladies and gentlemen on behalf of Infosys Technologies Limited that concludes this conference call. Thank you for joining us and you may now disconnect your lines.